Operator: Good afternoon and welcome to the Xenia Hotels & Resorts' Fourth Quarter 2018 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Lisa Ramey, Vice President of Finance. Please go ahead.
Lisa Ramey: Thank you, Andrea. Good afternoon everyone, and welcome to the fourth quarter and full-year 2018 -- Hotels & Resorts. I'm here with Marcel Verbaas, our Chairman and Chief Executive Officer; Barry Bloom, our President and Chief Operating Officer; and Atish Shah, our Executive Vice President and Chief Financial Officer. Marcel will begin with an overview of our company strategy and discussion on our operating results. Barry will follow with more details about fourth quarter and full-year 2018 results and details on our capital expenditure product. And Atish will conclude our remarks with a discussion of our 2019 guidance, and a review of 2018 capital markets' activities. We will then open the call for Q&A. Before we get started, let me remind everyone that certain statements made on this call are not historical facts and are considered forward-looking statements. These statements are subject to numerous risks and uncertainties as described in our annual report on Form 10-K and other SEC filings which could cause our actual results to differ materially from those expressed in or implied by our comments. Forward-looking statements and the earnings release that we issued earlier this morning, along with the comments on this call, are made only as of today, February 26, 2019, and we undertake no obligation to publicly update any of these forward-looking statements as actual events unfold. You can find a reconciliation of non-GAAP financial measures to net income and definitions of certain items referred to in our remarks in this morning's earnings release. An archive of this call will be available on our Web site for 90 days. With that, I'll turn it over to Marcel to get started.
Marcel Verbaas: Thanks, Lisa. Good afternoon. And I thank you for joining the call. We are pleased to be able to discuss what we believe was a very successful fourth quarter and full-year 2018 for the company in many regards. But before I turn to specific achievements and results for the quarter and the year, I believe it's important and informative to revisit the pillars of our company strategy we laid out in detail at our investor day, in May 2016, as we review our performance as a company and as a management team over the past several years. The first pillar of our company's strategy is a transaction-oriented mindset with a focus on diversification, quality, and portfolio enhancement. Since well before our listing, in February 2015 and continually so since that time, we have transformed our portfolio through transactions. Since our listing four years ago, we have not only continued to improve our overall portfolio metrics, such as RevPAR, EBITDA per key, geographic diversification, and projected competitive supply increases. But most importantly, we have improved the growth profile of the company as we look to the future. We have accomplished all of this through primarily single-asset and small portfolio transactions. While the smaller deal sizes is less headline-grabbing than a large portfolio transaction would be, our execution has been strategic, as it has allowed us to be thoughtful and methodical about each trade, and enable our acquisitions with dispositions and smart capital allocation decisions. Our transaction strategy has allowed us to buy assets at attractive pricing, without the need to pay significant premiums for large portfolios or companies. Each of our acquisitions has been directly on strategy. As a result of our acquisition activity, since our investor day, we have doubled our exposure to luxury hotels and results, up to 26% from 13%, and further enhanced our geographic and brand mix. We have acquired these assets at significant discounts to replacement cost. And most importantly, our acquisitions have provided us with significant opportunities to drive asset values through our asset management and project management expertise, as we unlock revenue growth potential and identify expense efficiencies. Meanwhile, our dispositions have focused on assets that generally shared one or more of the following characteristics. One, significant directly competitive supply additions, two, substantial near-term capital requirements without an appropriate projected return, three, hotel operations that we believe are at or near optimization from an asset management perspective, four, unfavorable ground lease terms, and or five, assets that are not closely aligned with our strategy of owing uniquely-positioned luxury and upper upscale hotels and resorts in 25 U.S. lodging markets and key leisure destinations. We continued executing on this transaction strategy throughout 2018, and during the fourth quarter specifically. And I will discuss the details of the four exciting transactions we completed during the quarter shortly. The second pillar of our company's strategy is an emphasis on a conservative leverage profile and a healthy balance sheet throughout various lodging cycles. Our net debt to adjusted EBITDA multiple has fluctuated from 3.1 times to 4.2 times since our listing in early 2015. We believe this to be an appropriate and conservative range for this part of the lodging cycle, especially when considering that we have no preferred equity outstanding. Additionally, we have lengthened our debt maturity schedule, improved our mix of fixed and floating rate debt, and further streamlined our balance sheet by now wholly owing all 40 hotels in our portfolio. Through our capital allocation efforts in 2018, we ended the year at 3.6 times net debt to adjusted EBITDA, over half a term below where we began the year, at a time where the lodging REIT balance sheets ranged greatly, from one times to over nine times net debt to EBITDA. We believe our balance sheet is at an optimum level, providing flexibility to continue our portfolio enhancements should opportunities present themselves. And lastly, aggressive asset management initiatives and leveraging our relationships with both brands and managers is the third pillar of our company's strategy. We have some of the strongest relationships in the industry with the best brand and third-party management companies in the business. Through the continued evolution of our portfolio over the past four years, we have maintained a significant relationship with Marriott, while expanding our relationships with Hyatt, IHG through Kimpton, and Accor through Fairmont. We are excited to have also recently welcomed Hilton back as an operator of one of our hotels through the acquisition of what is now the Waldorf Astoria Atlanta Buckhead. We believe that our asset management initiatives and the expertise of the management companies operating our assets day-to-day drive optimal results at our hotels. While the composition of our portfolio continues to evolve, we have been able to improve same-property hotel EBITDA margins each of the four years since our listing despite a same-property RevPAR decline in 2016, and modest RevPAR growth in 2017 and 2018. We believe this is reflective of the effectiveness of our asset management platform overall, and our property optimization process in particular. Over the past three years, we have completed 27 POPs, resulting in recommendations that have helped to drive meaningful improvements in revenues and expense controls. We look forward to continuing this successful program. Now, let's move to our fourth quarter and full-year results. During the quarter, we had net income attributable to common stockholders of $100 million, adjusted EBITDAre was $75.7 million, and adjusted FFO per share was $0.58. Our same-property portfolio RevPAR grew 1.6% in the fourth quarter, and our same-property hotel EBITDA margin increased by 47 basis points. For full-year 2018, we had net income attributable to common stockholders of $193.7 million. Our adjusted EBITDAre of $299.8 million was near the high-end of the guidance range we provided in November and adjusted FFO per share was $2.22, a 7.8% increase over last year, and above the high end of the guidance range we provided for 2018 at the beginning of the year. We are pleased to have provided this FFO per share growth in 2018 as we continue to focus on a balance between earnings growth and enhancing the quality and future growth profile of the company. We continue to be pleased with our operator's focus on expense controls as evidenced by our results in the fourth quarter and for the full-year. 2018 marked another year of hotel EBITDA margin growth for our same property portfolio, accomplished with a modest 1.2% RevPAR growth. Total same property operating expenses were only at 1.3% resulting in same property hotel EBITDA margin improvement of five basis points for the full-year. We believe this is an impressive result in the current operating environment. We continue to work with our operators to find opportunities for efficiencies and we are particularly pleased with the performance of our 2017 and 2018 acquisitions as we integrated each into our portfolio. Our transaction activities in 2018 were a successful continuation of our focus on upgrading our portfolio. We were a net seller for the year but only modestly so as our activities were relatively balanced between acquisitions and dispositions. We completed nearly $800 million in transactions including four acquisitions totaling approximately $360 million and three dispositions for a total of $420 million. We are pleased with the pricing and execution of each transaction. We added four luxury hotels to the portfolio and so lower tier hotels, bringing our total portfolio mix based on our room count to 26% luxury, 72% upper upscale, and 2% upscale. We have previously discussed the sale of Aston Waikiki Beach Hotel in the first quarter and the acquisitions of the Ritz-Carlton, Denver and Fairmont Pittsburgh in the third quarter. During the fourth quarter, we acquired two additional luxury hotels with significant upside potential, and sold two select service hotels with more limited growth opportunities from an operational perspective. In November, we completed the acquisition of Park Hyatt Aviara Resort Golf Club and Spa in Carlsbad outside of San Diego California for $170 million or approximately $520,000 per key. This pricing represents a significant discount to replacement cost and to the prices paid for comparable resorts in the surrounding areas nationwide in recent years. As we detailed in our earnings release this morning, we anticipate spending between $50 million and $60 million at the resort over the next several years. Barry will provide further detail on our capital plans later in the call. As many of you may know, the resort was a built as a Four Seasons Resort about 20 years ago, and as such it is very well built. The opportunity here lies with the lack of capital invested at the property over many years. We believe that the necessary cosmetic upgrades will allow the resort to regain its proper positioning and successfully compete with its competitive sets once again leading to significant increases in RevPAR and operating margins. We are excited to have acquired these high-quality assets located on 222 acres of fee simple land in a desirable, coastal California location. We acquired the resorts through a competitive process and believe that our transaction experience and ability to underwrite thoroughly and expeditiously were the determining factors in us being able to add this outstanding resort to our portfolio. In December, we completed the acquisition of 127 room luxury hotel in the Buckhead area of Atlanta for $53.5 million. Immediately upon completion of this acquisition, we rebranded the hotel as Waldorf Astoria Atlanta Buckhead and engaged Hilton as the operator of the hotel. Simultaneously, with this acquisition we purchased a freestanding restaurant that is part of the same mixed use development for $7 million. The restaurant is currently leased and operated as Del Frisco's Grille. As I mentioned before, we are excited to have added Hilton back into our portfolio as manager and believe strongly in the value that the wall of a story of brands will be able to add to the asset. While the hotels are in good physical condition, we intend to complete a number of ROI projects to further enhance the appeal of the properties, food and beverage facilities and rooms product over the next couple of years. In 2019, our focus for this hotel will be on working with Hilton to optimize revenue and expense strategies. Also, during the quarter, we completed the sale of two of our select service hotels Hilton Garden Inn Washington DC and Residence Inn Denver City Center for a combined sales price of $220 million, which equates to a 14.1 times multiple on the blend of trailing 12 months hotel EBITDA. We took advantage of strong private buyer interest in these two assets in markets where we recently added high quality luxury hotels, three acquisitions of The Ritz-Carlton, Pentagon City and the Ritz-Carlton, Denver. By selling the two hotels at attractive valuations, we further strengthen their balance sheet while effectively trading assets with what we believe to be more limited upside for assets with significant value enhancement opportunities. Our focus is on unlocking the value potential of our hotels and resorts, which in turn should lead to greater record, margin improvements, higher EBITDA per key and FFO growth. We believe that the hotels we added in 2017 and 2018 provide a significantly greater opportunity to increase value than the assets we have sold over the past few years. Meaningful top and bottom-line improvement opportunities exist at the four properties we acquired in 2018 through a combination of capital expenditures, revenue optimization strategies and expense controls. It is worth noting that all four of hotels we acquired in 2018 were previously owned by financial institutions that were not lodging dedicated investors, resultingly we believe we have in creating an ample opportunity to optimize operations at these assets under our ownership and through our strong relationships with highest Marriott, Paramount, and Hilton. As outlined in our earnings release this morning. Despite the many positive improvements, we have made in our portfolio through our transactions and our well received capital expenditures, we expect another year of relatively modest RevPAR growth in 2019 relative to 2018. This is primarily due to the current overall economic climate as well as elevated supply growth in many markets. The midpoint of our guidance results in adjusted EBITDAre and adjusted FFO, which are down slightly compared to last year. Our expectations for improved performance at recently renovated hotels and newly acquired properties are being offset by expense growth resulting from higher wage and benefits, costs and greater real-estate tax and insurance expenses. At least we'll discuss these factors in more detail shortly. We continue to be excited about the long-term growth opportunities and better than our portfolio. As a result of the recent moves we have made as well as our strong balance sheet, we believe the company is well positioned for earnings growth in the years ahead. With that, I'll turn the call over to Barry.
Barry Bloom: Thank you, Marcel. As a reminder, all the portfolio information I'll be speaking about is reported on the same property basis. For the 40 hotels over the year end, which include our two fourth quarter acquisitions. Same property RevPAR grew 1.6% of the quarter driven by a 2.5% increase in ADR has occupancy decline by 62 basis points. Food and beverage continue to be strength in our portfolio of 2.1% for the quarter and continue to be driven by strong contribution from in-house groups across the portfolio, and in particular at our larger group-oriented hotels. Overall, we achieved 1.9% increase in same property total revenues for the quarter. When looking at our top 10 markets based on 2018 Hotel EBITDA, which have changed this quarter as a result of our fourth quarter transactions. Our top performers were Napa a 15.8%, Phoenix a 8.5%, Boston a 6.7%, and Santa Clara a 4.3%. Our Napa hotels benefited from strong market growth over a weak 2017, which was impacted by the Northern California wildfires. Our Phoenix, Scottsdale hotels performed well as a result of strong group business, which laid the foundation for trans and compression. Boston has strong occupancy in the quarter, and so commonwealth benefited from the Red Sox postseason activity, and a World Series win. Additionally, other top 10 markets posting up our gains for the quarter included San Francisco and Dallas, which achieved growth on top of the double-digit RevPAR growth achieved in the fourth quarter of last year. The worst performing our top 10 markets for the quarter were San Diego down 2.2% to the software and house group activity and Orlando down 1% has elapsed strong fourth quarter in 2017, when the market benefited from post hurricane demand. For the full-year, our same property portfolio experienced 1.2% RevPAR growth driven entirely by ADR, which was up 1.4%, our occupancy remained essentially flat. Group room revenue for the year was up almost 2% compared to last year with transit and contract business also up by less than 1%. For the full-year 2018, the strongest of our top 10 markets were Phoenix up 6.2%, Santa Clara up 6% and Atlanta up 5.1% other strong markets, included Pittsburgh, New Orleans, and Salt Lake City. In total, 15 of our 26 markets experienced positive RevPAR growth in 2018. Our most challenged market for the year was Santa Barbara, which was down 11% as the market recovered slowly from the med slides in late 2017 and early 2018 and the absorption of new supply, which will continue into 2019. As Marcel discussed earlier, we continue to be pleased with our margin performance. 2018 marked four consecutive years or margin growth in our same property portfolios at year-end. For the year, same property EBITDA margin grew five basis points, the total expenses up only 1.3% despite a 2.5% increase in wages and benefits and a 5.3% increase in real-estate taxes and insurance, as you're able to find incremental savings elsewhere. In particular, we were extremely pleased with the integration of our 2017 acquisitions into our asset management platform. On average, the four hotel we acquired in 2017 grew margin almost 140 basis points and RevPAR growth of 2.8% is probably all went through our detailed property optimization process. We identified numerous revenue and cost savings initiatives, including aligning food and beverage pricing within each property, standardizing guestroom amenities and collateral, implementing charges or revisiting pricing for certain guest services such as [indiscernible]. These perhaps provide us with a detailed playbook we follow on each acquisition and our proven performance reiterates our unique ability to find operational efficiencies at hotels new to our platform and gives us confidence our investment thesis for each of our 2018 acquisitions, which the date have exceeded our initial underwriting expectations. During 2018, we completed reviews at eight hotels through our property optimization process. We identified nearly $3 million in potential net benefits of those properties, bringing our total approximately $11 million of properties we currently owned since we began this program in 2014, and resulting in nearly $7 million in annualized net benefit. In 2019, this dedicated in-house team will complete visits at our four new acquisitions as well as fully implemented program we call POP 2.0, which revisits properties that have been visited previously focuses on both retention of previous savings as well as identification of new opportunities. In addition to these internal opportunities, we expected number of brand driven initiatives will help improve portfolio performance. The continued focus and implementation of resort and destination fees further implementation and collection of cancellation fees. Lower chain service costs, stronger brand loyalty programs and operating initiatives and support of sustainability strategies will also help to offset wage and benefit increases in the portfolio. I would now like to turn to a quick review of our capital projects completed last year. Before discussing our exciting upcoming capital plans for Hyatt Regency Grand Cypress and Park Hyatt, IBR. In 2018, we spent $108 million in capital expenditures. We completed guestroom renovations at seven current hotels and resorts. On Dot Savannah, hotel Monaco Denver, Hyatt Regency Grand Cypress, Lorien Hotel and Spa, Marriott, Chicago at Medical District, Marriott Dallas City Center and Westin Oaks Houston as well as at Hilton Garden Inn, DC, and residence in Denver, both which were sold in the fourth quarter. In addition, we completed major meeting space renovations of Westin Galleria in Houston, Marriott Woodland and Hyatt Regency Scottsdale and significant food and beverage outlet upgrades and additions in hotel Monaco Chicago, RiverPlace in Portland. We're at San Francisco Airport, waterfront, and Westin Galleria. In addition to completing the guest room renovation at Hyatt Regency Grand Cypress, in September, we commenced construction of the 25,000 square foot ballroom and 32,000 square feet of pre-function and support space. As a reminder, this new facility is scheduled to be completed in the fourth quarter of 2019 with approximately $25.5 million of capital we spent in 2019 as part of a total project cost of $32 million. As of December 2018, below-grade infrastructure and the ground floor slab had been complete. The final phase of the resort's meeting space upgrade a comprehensive $7 million renovation of the existing meeting space is scheduled to begin in 2020. The resort's management team is enthusiastic about both the quantity and quality of business they're putting on the books for this new facility which allows some of the highest quality finished space in this very competitive market. Now turning to Park Hyatt Aviara Resort, Golf Club & Spa, we would like to discuss our plans for the resort which are an integral part of our overall investment thesis, the capital plan for the resort is expected to total between $50 million and $60 million, it will include a transformational renovation of the property and its amenities. This renovation will include a straightforward yet complete renovation of guest rooms and corridors including case goods and soft goods. Renovation reconstructing food and beverage outlets and the renovation of the meeting spaces and pre-function areas including identification and creation of new meeting space within the resort. The lobby and public areas will be improved to provide more open vistas and better flow throughout the property. In addition, substantial upgrades will be made to the spa and golf facilities as well as exterior landscaping, outdoor meeting space and pool features and amenities. As Marcel discussed, the properties are originally developed Four Seasons Resort and opened in 1997. As would be expected, the construction of the property is solid and the resort has a great foundation for us to work with. Because the resort is in such good physical shape in terms of the building and infrastructure, this transformation renovation is focused primarily on guests facing areas with a scope as noted to expect to drive significant ROI. We are confident the overall renovation budget. Having spent the last few months with an outstanding team of designers, the Hotel's management team and Hyatt's corporate team with whom we have worked on many successful ROI driven renovations over the past few years, this transformational renovation will modernize the resort and enhance its appeal for the broad range of market segments and it has the potential to serve. We believe strongly that this renovation will be very well aligned with the Park Hyatt brand, and its customers. We'll position the resort extremely well against its competitive set enabling it to regain much of the market share it has lost over time. The renovation is scheduled to commence in the fourth quarter of 2019. We are targeting completion in the first quarter of 2021. The total renovation spend, we anticipate spending approximately $15 million for the project this year. With that, I'll turn the call over to Atish.
Atish Shah: Thank you, Barry. I will cover two topics today. First I will discuss our 2019 outlook and then I will turn to a brief review of our balance sheet. For full-year 2019, we expect adjusted EBITDAre to decline by approximately $4 million relative to 2018 as reflected by the midpoint of our guidance range at $296 million. As compared to last year, we expect better hotel operating results and lower expected G&A expense, offsetting that is a $3 million net transaction activity headwind. The three hotels we sold last year contributed approximately $19 million to EBITDA in 2018. The four hotels we acquired last year are expected to earn $16 million of incremental EBITDA in 2019 relative to 2018. In addition, we received a net $5 million in non-recurring business interruption insurance proceeds in 2018. Taken together, the net effect of these ins and outs yields adjusted EBITDAre that is expected to be slightly down year-over-year. At the midpoint of our guidance range, we expect 1.5% RevPAR growth in 2019. We're expecting RevPAR growth above 4% at our Hotels & Resorts in San Francisco, Houston, Napa and Key West. Hotels that were under renovation last year in markets such as Dallas and Denver are also expected to show better than average RevPAR growth. Across the portfolio, we expect displacement due to renovations to be less of a drag to RevPAR than it was in 2018. For the year, we expect a 20 basis point negative impact to RevPAR versus 90 basis points in 2018. For 2019, we expect disruption to occur mostly in the first quarter but at a much lower level than in last year's first quarter. As a reminder in 2018, we had 220 basis points of impact in the first quarter followed by 50 and 75 basis point of impact in the second and third quarters respectively. And not much impact in the fourth quarter. The supply growth forecast in our competitive market continues to decline. On an overall rooms weighted basis supply growth in our market track expected to be approximately 2.5% in 2019. That number has come down from last year to both to our transaction activity and new hotel developments taking longer to be built and open. Some markets such as Savannah and Portland are expected to experience higher levels of supply growth. Other markets such as Chicago and Boston will be more challenge due to lower city wide convention demand than last year. However as we look across our most significant markets such as Orlando, Houston and Phoenix are positioning gives us confidence in our outlook. This year it started off well. As our REVPAR grew 3.4% in January, we are on track to post even higher REVPAR growth in February. The Super Bowl in Atlanta as well as renovation comparisons over last year are expected to make for a strong top line in the first quarter relative to 2018. Turning to the group side of the business, we began the year with about two thirds of our expected full-year group revenue as definite. As a reminder, group represents approximately 35% of our room's revenue. At year end 2018, our 2019 group revenue paced relative to last year up approximately 2%. For our top 15 group hotels which together represent 75% of our 2019 group revenue pace was up over 3%. Turning briefly to other revenues, we are expecting growth in this area to be higher than REVPAR growth. We expect to see food and beverage revenue growth outpaced REVPAR growth as it did in 2018. One of the key drivers of that it improved banquet and catering revenue as a result of our mix of group business. At the same property hotel EBITDA margins, we expect these to be approximately flat in 2019 versus 2018. We expect continued success in finding margin growth opportunities to offset and more difficult expense environment. As Barry and Marcel each mentioned, we grew margins last year for hotels acquired in 2017 and expect those opportunities to continue for newly acquired hotels. Offsetting this will be expense increases that we together with other hotel owners are facing. In particular as to expenses of a more non-operational nature we are seeing continued inflation in certain areas. We expect property tax expense to grow almost 7%. We expect property and liability insurance expense to grow nearly 10%. Given that our portfolio continued to evolve last year, we would like to provide some additional detail about the seasonality of our earnings. We expect to earn approximately 30% of our hotel EBITDA in the second quarter followed by nearly 25% each of the first and fourth quarters. And just over 20% in the third quarter. As the business interruption insurance, we have reach final settlements on all but one of our outstanding claims. We have one remaining outstanding claims still open at Hyatt Centric Key West Resort & Spa but we are not expecting significant proceeds given that business there is quickly returning to more normal life levels. Moving to adjust FFO, we are have currently projecting to earn between $231 million and $247 million. It reflects adjusted EBITDAre that I just discussed. In addition, we expect a $2 million increase in interest expense due to new financings and higher interest rates as compared to last year. On a per share basis, this result and guidance of $2.02 to $2.16 of adjusted FFO per share. This is based on a 114.4 million weighted average diluted shares and unit outstanding for the full-year. Now I'll move to my second topic our balance sheet. During 2018, we continue to improve our balance sheet profile. Subsequent to year end, we completed the final drawn on our new unsecured term loan. The outstanding balance on the loan is now $150 million. Pro forma for this draw approximately 80% of our debt is fixed or hedge to fixed, this compares favorably to year-end 2017, at which time a little over 70% of our debt had fixed rates. Our weighted duration is currently 4.8 years. Finally, in a rising rate environment, our weighted average interest rate is 3.9%, which is roughly 20 bips higher than it was at year-end 2017. At year-end, we had net debt to adjusted EBITDA of 3.6 times, that was over half-a-turn below the leverage ratio at the beginning of 2018. We continue to have well-staggered debt maturities having addressed all 2019 loan maturities and all but one small 2020 loan maturity. Our balance sheet is strong with approximately $150 million of available cash at present. We have 30 unencumbered assets that together represent approximately two-thirds of our annual hotel EBITDA. We continue to believe that our balance sheet strength can support our strategic goals. Turning to the equity capital markets front, we finished 2018 having sold over $135 million of common stock through the ATM at a weighted average price of $24.02. While we did not buyback stock last year, we continue to believe share repurchases can be a good tool to drive shareholder value, as evidenced by our track record on this front. That concludes our comments. Andrea, could we move to the Q&A session, and take our first question at this time.
Operator: We will now begin the question-and-answer session. [Operator Instructions] And our first question will come from David Katz of Jefferies. Please go ahead.
David Katz: Hi, good afternoon everyone.
Marcel Verbaas: Afternoon, David.
David Katz: Hi. I wanted to ask just a strategic question, and I'll admit that I got on just a few minutes late, so I apologize if I missed it. But it really has been a pretty busy year with the amount of buying and some selling. Should we think about the story transitioning a little bit to harvesting what you've planted at this point in the portfolio, or do you expect that there's some more activity that may be coming our way the rest of this year?
Marcel Verbaas: Thanks, David. As I started our prepared remarks, and as you mentioned you may have joined a little bit later, I did start with an outline again of kind of the three pillars of our company's strategy as we've outlined a number of years ago. And obviously, transaction activity, to enhance portfolio quality over time, and enhance the growth profile of our earnings over time is a very significant pillar of that strategy. And it's something that we've, to your point, been very active in over the past few years. What we want to do going forward is make sure that we maintain a very strong balance sheet that gives us optionality to the extent we find interesting opportunities out there. I do believe that through our activities internally on renovations on assets where we've done a lot of work over the last couple of years, and through the acquisitions that we've made over the last few years, we've set ourselves up very well for the next few years. And as we continue to look ahead, we'll look at opportunities to continue to enhance that overall portfolio quality, and it will really depend on what we see out there from an opportunity standpoint.
David Katz: So, if I can just follow that up. I appreciate you repeating yourself for me. But is there a weight on the performance of the portfolio, if I were to just play devil's advocate for a moment, based on the fact that there's a number of new hotels and some construction going on, is there a weight on the portfolio for a period of time, and when might that weight lift, if in fact there is one?
Marcel Verbaas: Well, we obviously talk a little bit about renovation impact throughout the portfolio, which was frankly a little bit more elevated last year; we had about 90 basis points of impact through renovations on our RevPAR growth. For this year, as we sit here today, it's about 20 basis points. And it's actually a lower number of assets where we have renovations going on this year. We just have a couple of bigger projects in the ones that Barry discussed as it relates to Grand Cypress with the ballroom that we're adding, which we really view as a real ROI opportunity for us, and then obviously the work that we'll be doing at Aviara. So, we think those are going to be great growth vehicles for us going forward, but we certainly are looking to benefit and harvest off of the improvements that we've made at the assets that we frankly touched over the last two or three years.
David Katz: Got it. Okay, thank you. Nice quarter.
Operator: Our next question comes from Michael Bellisario of Baird. Please go ahead.
Michael Bellisario: Good afternoon everyone.
Marcel Verbaas: Afternoon.
Michael Bellisario: Marcel, can you maybe give us your updated view on larger scale M&A opportunities and how you approach that maybe from both angles?
Marcel Verbaas: Now, as I also pointed out in my comments at the start of the call, we're very pleased with how we've been able to grow our portfolio through really very targeted acquisitions that are right on strategy for us. So we haven't found, frankly, from our perspective larger scale opportunities, either from a portfolio standpoint or a company standpoint that we have found more attractive than kind of building through the strategy that we have maintained over the past few years. And I've obviously stated in the past, as we've done frankly everything as a management team as it related to transactions whether that's one-off transactions, portfolio transactions, company transactions, and we've been very well versed on being on both sides of those types of transactions in the past. And our view hasn't changed over time, our view is always that we're looking to drive long-term shareholder value and that's where our focus will remain on any side of any transaction in the future.
Michael Bellisario: Got it. And then as you think about the single-asset acquisitions, kind of what does the pipeline look like today, and then how have pricing expectations changed at all recently given the recent market volatility?
Marcel Verbaas: Well, I probably sound somewhat like a broken record sometimes when these questions come up as it relates to this, because I don't think the pipeline is necessarily terribly deep currently. We're not seeing just a kind of wealth of opportunities out there, but we continue to look at a fair number of things that are out there. And historically we've been able to find those opportunities even at a time where maybe the pipeline has been a little bit lighter. So, I haven't seen a dramatic change there. I think over the past few months we haven't really seen an enormous shift one way or the other as far as the depth of the pipeline goes and/or pricing expectations. As you know, there have been a few transactions in this space recently of some larger transactions, and some transactions that happened with some of our peer REITs where it appears that pricing is staying relatively stable.
Michael Bellisario: That's helpful. And then just last one on San Francisco. I know you mentioned kind of better then portfolio average growth there, but can you maybe help us think about your properties in that area, and then kind of the compression that you're expecting to get at those hotels outside of the CBD?
Barry Bloom: Yes, sure, Michael. So, when we talk about San Francisco as a market, it's the one hotel, the Marriott Airport Waterfront, as distinguished from Napa which we talk about separately, it's a separate market considered by SGR. And then Santa Clara also separate market, but speaking specifically about the San Francisco Airport Marriott property, we do expect good growth there this year. It will be a little different growth and more muted growth than you'll see from the downtown hotels, but it follows for us three years of significant RevPAR growth in '16, '17, and '18, where we never saw a decline, in fact continuing to grow RevPAR, significantly in '16, and then on a more moderate in '17 and '18. So it plays with a little bit different market there. We do get compression downtown for sure, but our primary business is serving the mid-Peninsula. A quarter on, we expect good growth there, but not necessarily a huge amount of compression from the downtown business any greater than what we saw historically looking back three or four years kind of pre [indiscernible] renovation.
Marcel Verbaas: And what I will add to that is that, as Barry points out, Napa is a bit of a separate market for us, but as you could see from our growth there in the fourth quarter, we're lapping some of the disruption that we saw on the prior year. We're certainly expecting some good growth and compression to come out of San Francisco to help us with those assets as well.
Michael Bellisario: That's helpful. Thank you.
Operator: Our next question comes from Thomas Allen of Morgan Stanley. Please go ahead.
Thomas Allen: Hey. On Houston, you guys highlighted RevPAR to be up over 4% in 2019. Can you just talk about the kind of gives and takes there? Thank you.
Barry Bloom: Yes, sure. So, as you know, Houston has been a very evolving story for us over the past few years. I think at this point to talk specifically about the Galleria; I mean we are virtually done with our renovation and repositioning work there. We've got a very light lobby refresh and some meeting space to do in the Oaks Tower, but the Galleria has been done now for over a year. The Oaks guest rooms have been completed now for a few months, and we're seeing very strong ramp up. We're executing the business plan that we'd always set out to do, which has really become the leading high-volume corporate for large-volume corporate accounts, and return the property to its positioning in the group market that really hadn't been able to enjoy due in part to both relatively dated interior and a fell to the hotel, as well as what the market went through. So, we're seeing strong demand in the Galleria market across the board in virtually every segment, and look to take advantage of that this year. Woodlands, despite some supply, we've got some decent growth there, obviously excess of 4% as the chief referenced. In part, we had this significant meeting space renovation last year which took -- that's a very large amount of meeting space in that hotel, it took us offline for meetings for a period of time. We certainly did it during the slowest time of the year, but the market is reacting very well to the renovated meeting space as well as do we know we'll be lapping that renovation this summer which gives us a lot more opportunity to drive group business to that hotel this year.
Atish Shah: The only other point I'd add, Thomas, is if you look at the earnings from those hotels, back in '14, they were making close to $40 million. And last year, they made just under $30 million, so there's a lot of upside potential, and we're happy with the overall positioning. And we think we're set up well for multiple years of outperformance just to get back to that peak level that we reached several years ago.
Thomas Allen: That's helpful, thank you. And then just on the renovation commentary, so you had 90 bips of renovation headwinds last year. You say you're going to have an incremental 20 bips of impact on growth this year, but spend less on CapEx than what we are spending on. Seems to me like Grand Cypress you're building a new ballroom, right. Shouldn't that -- that's going to displace more, and then [indiscernible] you didn't own for most of last year, so…
Atish Shah: Yes, hold on one second, Thomas. So it's not incremental. What we're saying is last year we had 90 basis points of impact on a full-year basis. This year we have 20 basis points, it's not incremental though. Relative [indiscernible]…
Thomas Allen: It's on a growth rate, right?
Atish Shah: It's on our overall RevPAR, that's what we're saying. So it's actually 70 basis points less disruption in '19 than in '18.
Thomas Allen: -- sorry for that.
Atish Shah: Okay, got it. Sorry for that. I guess that was confusing, but …
Thomas Allen: We're on the same page now. Thank you.
Atish Shah: Okay, got it.
Operator: Our next question comes from Bryan Maher of B. Riley FBR. Please go ahead.
Bryan Maher: Yes, good afternoon. So, we were a little surprised by the strong F&B. Can you give us your view on is that coming more from kind of transient leisure, are you seeing it strengthen your group bookings, and what are your expectations for that to continue on into 2019?
Barry Bloom: Thank you, Bryan. We've talked about this a few times last year, and I think we certainly have continued to see a trend as we've bought larger group hotels, and in particular the 2017 acquisitions of Hyatt Regency Scottsdale, Hyatt Regency Grand Cypress, that we have a real ability and opportunity to grow, particularly the group banquet side of the equation. That's where most of the growth is coming from. We continue to have decent performance in our restaurants, and I think we've right-sized and have our restaurants set up and are renovating them the right way to be decent hotel restaurants. But I think the real growth you're seeing food and beverages all driven almost exclusively on the group meeting and catering side. We're seeing lots of opportunities as the economy strengthened a little bit through the year to upsell groups or for our management companies to upsell our groups into more expensive meals, additional beverage packages, things like that then that we were -- I think we were also surprised by, through the year, and continue to see it grow through the year. But we're fairly confident and are now seeing it more so than last year, which was a lot of last minute additions, we're seeing that booked into contracts in our booking pace for 2019. So we feel pretty good about that trend continuing.
Bryan Maher: And how are you thinking about margins as it relates to your SMB activity?
Barry Bloom: Well, I mean, we're obviously grateful that our growth and food and beverage is coming through banquets, which is certainly by far the most profitable portion of that business. We did a tremendous job last year on controlling food and beverage expense and part of that is a reflection of the shift from restaurant business to banquet business. So in fact overall, food and beverage expense in the portfolio was virtually flat last year on close to 2% revenue growth in food and beverage looking at the portfolio overall.
Bryan Maher: And then just lastly, I was a little surprised not to see some buyback activity in kind of the debts of December, how were you guys thinking about that when the stock kind of bones below '18. I know it only stayed there for maybe a week to 10 days, but what was the thought process internally not to deploy capital to buy back shares at that time?
Marcel Verbaas: Yes, that's a great question, and I think that that dynamic that you mentioned is a relevant one. I mean, as we looked at that activity in that period of volatility in December, it was just very short-lived that you saw that move down. I think philosophically, our position on this hasn't changed, and we have a really good track record. I mean, we bought back in '16 and '17 over 5 million shares for $15 a share. So our track record is strong. We have the remaining authorization of nearly $100 million. We think it's a good tool, but specifically with regard to the fourth quarter, I mean, what you had is that period of volatility at the very end of the year. And there was a lot of uncertainty in the market, I think, with the shutdown looming, and entering a blackout period for us and other companies. So I think that factored into the thinking, but overall, we still feel like it's a great tool to have and we certainly feel like there's value there, so…
Bryan Maher: Thank you.
Marcel Verbaas: Welcome.
Operator: Our next question comes from Brian Dobson of Nomura Instinet. Please go ahead.
Brian Dobson: Hi, good afternoon. So thanks for that color on supply growth within your areas of operation. I understand that that's decelerating because of the shift in your portfolio distribution, but does it appear to you that any of that supply growth deceleration is coming from an actual same-store supply growth deceleration in those markets that you're operating in?
Marcel Verbaas: Yes. I think what's happening as we look across our markets and our track specifically at new projects we're seeing that they're taking longer to be built, and to open. So you're seeing that reflected in our numbers. So if you looked at supply growth for '19 about a year ago, it would've been roughly 20 to 30 basis points higher, so in the 2.7% to 2.8% range for '19. Now, we look at it and it's about 2.5%. So as I mentioned, some of that is because certainly the transactions that we've done, but it's also because projects are taking longer to get built and opened.
Brian Dobson: And what would you attribute that longer timeline, that longer project timeline to?
Marcel Verbaas: Well, our sense is that it's construction labor, construction costs, availability of construction labor, I mean, those factors. I mean, we're not in the business obviously of building hotels, but that's the sense we get from the operating teams and our knowledge of these markets.
Brian Dobson: And as you're out in the market bidding for assets and looking at assets, who do you see your competitors being right now? What types of companies?
Marcel Verbaas: Well, frankly, it's a mix. It really depends on which particular opportunity you're looking at and in some cases our sense is that we're competing with some of our peers. Sometimes, you're competing with more private equity type investors. It generally depends a bit on geographic locations and whether someone has exposures in certain markets. You know, whether something is a 100% strategic fit for us versus our peers. Some of the properties that we bought last year absolutely fell into both buckets, we know that some of our viewers look at so and then look around its only assets and we know that in other cases, it will probably blow it more between us and private buyers but there's no good robust group of people that are looking forward right type of acquisitions obviously, so many times in our mind it comes down to your experience and expertise and being able to underwrite expeditiously and being able to really focus on those opportunities that you think are just great strategic fits and try to put all your effort into being able to buy those particular assets.
Brian Dobson: Excellent. Thank you very much.
Marcel Verbaas: You are welcome.
Operator: Our next question comes from Bill Crow of Raymond James. Please go ahead.
Bill Crow: Yes, thanks. Good afternoon guys. Marcel or maybe this is Barry, which brands you know given that you have a presence or your ownership of many of the different brands that are out there which brand families are doing the best job of glory and customer acquisition costs and other ownership costs, is this really kind of moving the needle?
Marcel Verbaas: Because you gave us the option of either me or Barry answering as I'll let Barry answer that.
Bill Crow: Thank you.
Marcel Verbaas: There you go.
Barry Bloom: So I think we're just continuing to see that evolve, and I think every brand has a own idea of kind of how to do that a little bit differently. I mean, we certainly as you know, the largest brand famine, or proposed Marriott. We certainly think they spend the most times thinking about that and that we believe that ultimately part of them being the largest brand family and having the most brands, the most points of distribution, but they will be able to drive lower costs and we are fairly confident we're going to see some of that this year. I think, certainly we're going to see some benefit this year, we think and start seeing late in last year from the Kimpton IHG transaction, as specifically as it relates to brand cost and cost of distribution. We also -- similarly, we think Hyatt does a good job; they're very focused on it. It's an area certainly where they probably have more room to catch-up in some of the other brands but we know through our involvement with them through the hotels, we own our involvement on their own Advisory Council that they've spending a lot of time folks on as well. So it's very hard to say kind of who's best today and I think we're really starting to converge toward a better world in terms of that as these companies have really listened to, we think well to owner feedback and know that they're going to satisfy owners going forward is by focusing on those costs' ultimate reducing them and getting the right kind of distribution at better pricing.
Bill Crow: All right. Marcel, I'm not going to let you off the hook though. Here's my argument is that it seems like your risk tolerance maybe have increased a little bit with the Aviara acquisition, just you know given the combination of luxury high price per key late cycle, economically analyzing and then this $50 million CapEx spend over a couple of years, you really bet and more on kind of a 2022 or 2021 outlook, is that fair and did the returns that you're expected on this particular asset are they higher than what you've looked for other maybe straighter down the middle of the Fairway sort of acquisitions that you've done?
Marcel Verbaas: That's a fair question Bill. From our perspective, a lot of the things he actually talked about are great opportunities, we actually think that the cost per key for his asset when you're thinking about 222 acres of feasible lands and outside of San Diego at 520,000 key is very attractive when you look at it compared to the resorts in that area and unless I said in my comments when you look at resorts of that ilk nationwide, so we believe that we got into the assets that are really attractive basis. I also pointed out some of the other things that are attractive to us. You know, we bought it from a financial institution that is a local margin focus and clearly has not had the same kind of asset management expertise and oversight that we can bring to that asset. The type of renovation that we're doing here even though it's $50 million to $60 million, it's very much cosmetic in nature, it's the kind of stuff that we believe is our bread and butter, we have that very experienced project management team that has done this type of projects and frankly more complicated projects in the past too. So we think there're all lines of very well for what we can do very well and where we can actually really move the needle. Working with Hyatt was obviously very strong relationship for us where we have tremendous experience, renovating assets and executing on that and really moving the needle operationally, great opportunity for us. So from a risk tolerance standpoint, we viewed as just a very much an untapped opportunity where there's a lot of upside and we know was a better process to acquire this hotel. So we certainly weren't alone and feeling the way, so from that perspective. Now as you as you talk about the cycle you know, we think that luxury resorts are well-positioned at this time because of lack of new supplies that's been added in that space, we've clearly moved our portfolio, more upscale overtime and we think that they are just a lot more levers for us to pull to actually create value as opposed to some of the assets that we've sold where we feel like we've been able to optimize most of those operations already.
Bill Crow: Okay, fair enough. At least, I guess I am letting you off the hook. That's it for me.
Marcel Verbaas: Okay. Fair enough. You are giving me that time, I'm sure.
Bill Crow: Yes, I'm sure.
Barry Bloom: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Marcel Verbaas for any closing remarks.
Marcel Verbaas: I would like to thank all of you again for joining our call. I like to reiterate how pleased, we were by our activity and results in 2018. We continue to believe we are good allocators of capital, demonstrated by the significant progress in improving the quality of our assets, executing on projects to enhance long-term value of the company, and positioning the balance sheets to once again be opportunistic. So we look forward to sharing our progress in 2019 as we continue to execute against our strategy.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.